Operator: Thank you for holding, and welcome to the Rockwell Automation’s Quarterly Conference Call. I need to remind everyone that today’s conference call is being recorded. Later in the call, we will open the lines up for questions. [Operator Instructions] At this time, I’d like to turn the call over to Steve Etzel, Vice President of Investor Relations and Treasurer. Mr. Etzel, please go ahead.
Steve Etzel: Good morning and thank you for joining us for Rockwell Automation’s first quarter fiscal 2019 earnings release conference call. With me today is Blake Moret, our Chairman and CEO; and Patrick Goris, our CFO. Our results were released earlier this morning, and the press release and charts have been posted to our website. Both the press release and charts include reconciliations to non-GAAP measures. A webcast of this call will be available at that website for reply for the next 30 days. Before we get started, I need to remind you that our comments will include statements related to the expected future results of our company and are therefore forward-looking statements. Our actual results may differ materially from our projections due to a wide range of risks and uncertainties that are described in our earnings release and detailed in all of our SEC filings. So, with that, I’ll hand the call over to Blake.
Blake Moret: Thanks, Steve, and good morning, everyone. Thank you for joining us on the call today. I’ll start with some key points for the quarter, so please turn to Page 3 in the slide deck. I’m pleased with our results for the quarter. Organic sales were strong up almost 6% and well above expectations. From a vertical perspective growth was led by consumer and heavy industries. In consumer, food and beverage and Life Sciences were strong. Heavy industries growth was led by mining, open paper and metals. Oil and gas, grew slightly above the company average. Within transportation, automotive was down about 10% in the quarter weaker than expected and Tire was up low single digits. In the quarter, Logix grew 7% organically and Process grew 5%. Revenue from Information Solutions and Connected Services, which is a measure of adoption of new value from the Connected Enterprise, once again profitably grew double digits. Commenting on regional performance in the quarter, North America, which for us is the combination of the U.S. and Canada, grew 6% organically. We saw good growth across a wide range of industries with the exception of Automotive, which was weak. EMEA was down slightly in the quarter. Growth in consumer verticals was offset by declines in heavy industries. Asia grew 4% with most countries in the region contributing to growth. China sales were up mid-single-digits. Latin America sales were up 20%. We saw good growth in Brazil. And Chile was strong due to increased mining activity. As you may recall last year, we won a big order with Codelco and we are starting to see this in our results. I’ll make a few additional comments about our Q1 results. Adjusted EPS was at 13% and segment operating margin was up 40 basis points year-over-year. Book-to-bill performance for our solutions and services businesses was the strong 1.12 in Q1. We grew backlog in the quarter. Patrick will elaborate on our first quarter financial performance in his remarks. Let’s move on now to the macro environment and our current outlook for full year fiscal 2019. We see continuing uncertainty due to trade tensions and geopolitical risks. However, forecast continue to call for industrial production growth. We had a good first quarter and project quoting activity was strong. With one quarter behind us our full year outlook for organic sales growth and adjusted EPS guidance remains unchanged. We continue to expect our fiscal 2019 organic sales to be up 5.2% year-over-year at midpoint of guidance. Currency is now expected to reduce growth by 1.5 percentage points. Including the revised impact of currency, our fiscal 2019 guidance is sales of about $6.9 billion. Our guidance for adjusted EPS remains a range of $8.85 to $9.25. Now I’ll turn it over to Patrick to provide more detail about our Q1 results and our 2019 sales and earnings guidance.
Patrick Goris: Thank you, Blake and good morning everyone. Before I go through our results and outlook, I want to mention that we made some reporting changes starting the first quarter of fiscal 2019. We outlined these changes in today’s press release and I will cover them briefly when I get the Slide 9 in the deck. For compatibility purposes fiscal 2018 numbers have been recast to confirm the fiscal 2019 reporting. With that said, we’ll start on Slide 4, key financial information first quarter. As Blake mentioned, we have good first quarter of the fiscal year with reported sales up 3.5%. Organic growth was 5.7% about 200 basis points better than we expected. Currency translation was about a two point a headwind to sales growth, worse than expected. Segment operating margin was very strong at 22.8% up 40 basis points compared to last year. A margin tailwind from good organic growth was partially offset by higher investment spending. Earnings conversion, whether you include or exclude the impact of currency was between 30% and 35%. General corporate net expense of $22 million was down $2 million compared to last year. Adjusted EPS of $2.21 was up $0.25 cents compared to the first quarter of last year, an increase of 13%. The year-over-year increase in adjusted EPS is primarily due to the benefit of higher sales and lower share accounts, partially offset by higher investment spending. As expected the net impact of tariffs was a small headwind. First quarter adjusted EPS performance was significantly better than we expected, given stronger than expected organic sales growth and somewhat lower than expected investment spending. Free cash flow was $170 million in the quarter, or 63% of adjusted income. During the first quarter, we paid the animal incentives that our employees earned in fiscal 2018. A few additional items to cover not shown on the slide, for adjusted EPS average diluted shares outstanding in the quarter were 121.5 million, down 8.6 million or about 7% from last year. We repurchased about 1.8 million shares in the quarter at a cost of $292.8 million. This is slightly ahead of pace to get to our $1 billion full year target. At December 31, we had $816 million remaining under our share repurchase authorization. Slide 5 provides the sales and margin performance overview for the Architecture & Software segment. This segment had 2.4% reported sales growth. Organic sales were up 4.6% year-over-year, currency translations decreased sales by 2.2%. For the quarter, segment margin increased 100 basis points year-over-year to a very strong 31.5%. Operating leverage associated with the sales growth was partially offset by higher investment spending. Moving on to slide 6, Control Products & Solutions, reported sales were up 4.5% for the segments. Organic sales growth was 6.6% and currency translation reduced sales by 2.1%. Growth in our solutions and services businesses in this segment was strong at about 8%. The product businesses in this segment were up about 5% on an organic basis. Operating margins for this segment was up slightly compared to Q1 last year, primarily due to higher sales offset by higher investment spending. As Blake mentioned, book-to-bill performance in our solutions and services businesses in this segment was 1.12 in Q1. Next slide 7 provides an overview of our sales performance by region. Blake covered most of this – in this slide in his remarks. So as I just mentioned our growth was broad based across geographies with the exception of EMEA, also we saw good growth in emerging markets which were up high single digits compared to last year. This takes us to slide 8, guidance. We now project sales to about $6.9 billion. Our organic sales growth range remains unchanged that 3.7% to 6.7%. We’ve updated our currency assumptions and we now expect the headwind from currency translation to be closer to 1.5%. We continue to expect segments operating margin of about 22%. Our expected adjusted effective tax rate for fiscal 2019 remains about 19.5% and as Blake mentioned we are maintaining our adjusted EPS guidance range of $8.85 to $9.25. With respect to tariffs, we still expect to offset the incremental cost through supply chain changes and negotiations with vendors as well as targeted price increases on effective products. Our supply chain and pricing folks have done tremendous work in this area and we remain on track to neutralize the impact of tariffs for fiscal 2019. We continue to project free cash flow conversion of about 100% of adjusted income. As to general corporate-net, we now project it to be about $95 million. As a reminder general corporate-net now excludes interest income. Net interest expense for fiscal 2019 is expected to be above $90 million. Before I turn it back over to Blake, let me add a couple of comments on slide 9. As I mentioned at the beginning of this call, we made some reporting changes effective the first quarter of fiscal 2019. As you can see on this slide, these changes include the adoption of ASC 606 revenue recognition as well as the new standard that defines operating and non operating pension and post-retirement benefits costs. We transferred some business activities from one segment to the other and we also combined U.S. and Canada into North America consistent with the way we run this region. Finally we removed interest income from general corporate-net. Our press release provides additional detail related to these changes. In addition, slide 10 and 11 of this deck provide a summary of the changes as well as a walk for fiscal 2018 first quarter results. Today updated data books will be available on our website that will include prior year financial results. Recap, the new reporting format. After our earnings call, Steve will be available to cover any additional details and questions you may have about the reporting changes. With that, I’ll hand it back to you Blake.
Blake Moret: Thanks Patrick. I’ll make some additional remarks related to the execution of our strategy. We are performing well in our key focused areas. There were three components of our growth strategy which are, share gains in our core platforms, double digit growth in Information Solutions and Connected Services and a point or more of growth per year from inorganic investments. Core platform performance in the quarter was highlighted by 7% Logix growth. Our strategic partnership with PTC continues to gain momentum. We’ve had wins across all regions and in our key industry verticals and the pipeline of opportunities is growing every day. We’re also working well with PTC to converge our IoT technology roadmaps. Our pipeline for inorganic investments remains robust. Yesterday we announced the acquisition of Emulate3D, a UK based software company whose products digitally simulate and emulate industrial automation systems. This software enables customers to virtually test machine and system designs before incurring manufacturing and automation costs and committing to a final design. Emulate3D was a member of our partner network and we’ve seen customers benefit by combining their solutions with our technology. Emulate3D software will become part of our FactoryTalk design suite. Turning to the components of our growth strategy, we have the financial flexibility to execute, all within the capital deployment framework described during investor day. An industry where this strategy is delivering tangible results is Life Sciences, where we’ve had several years of good growth. Pharmaceutical companies benefit from our multidiscipline Logix control platform, which addresses discrete, batch and continuous process applications. Customers are implementing our Independent Cart motion technology for greater throughput. And our software offerings such as MES and FactoryTalk innovation suite are important competitive differentiators. Our Connected Services offerings also provide us another way to win. Recently we received another order from Pfizer to help them increase cybersecurity at their global manufacturing facilities. We will plan, implement and support security technology and solutions along with key strategic partners across Pfizer’s global manufacturing supply chain. We’re becoming more important to customers in every industry on their individual journeys to become more productive. Finally, I want to thank our employees, partners, and suppliers for their contributions to a good start to the fiscal year. Our entire organization is energized and excited about our new offerings and the opportunities that are ahead of us. With that, I’ll turn it over to Steve to start the Q&A. Steve?
Steve Etzel: Before we start the Q&A, I just want to say that we would like to get to as many of you as possible, so please limit yourself to one question and a quick follow-up. Thank you. Operator we’ll take our first question
Operator: [Operator Instructions] And your first question comes from Rich Kwas with Wells Fargo Securities. Your line is open. Your next question comes from John Inch with Gordon Haskett. Your line is open.
John Inch: Thank you. Good morning everyone.
Steve Etzel: Gordon, can you hear me?
John Inch: Yeah. Good morning guys. Hey, so just in terms of the quarter versus the flat EPS expectation, and your results. I think Patrick you mentioned it was driven basically by higher sales. Where did you actually see the surprise to the upside? And do you think those trends continue for the rest of the year?
Patrick Goris: Yes, so for the first quarter all regions except EMEA came in better than expectations, particularly the Latin America, which was up 20%. From a industry perspective, some of the heavy industries were better than we expected. In those we include metals, pulp and paper, oil and gas was a little bit better as well. And then consumer was better, particularly life science, which has very strong growth. So I’d say across multiple regions, and particularly Heavy and Life Sciences.
John Inch: And Patrick the reason for not changing your guidance given the beat is because you expect things to soften, still given sort of uncertain international markets are there any other clues? How did January do as part of the cadence toward the rest of the year?
Patrick Goris: January is consistent what we have in our guidance for the full year. I think one of the ways you can think about this John is we have one quarter behind us.
John Inch: Meaning you’re not anticipating a slowing or you’re just not sure. I mean, I’m…
Patrick Goris: No, if we went one quarter behind us, which was a little bit better than we expected then we see no reason at this time to change our guidance for the full year.
John Inch: I got it. And then my follow-up is really on the cadence of investment spending. If I remember, I think, you said you spent $70 million to $80 million in fiscal 2018 and you are going to spend $3 million to $4 million more with much of that focused in the first quarter. Are you still on track for that? And what actually did you spend in the first quarter with respect to investment spending? And did that help margins anyway versus kind of heading into the quarter versus your thoughts around investments spending?
Patrick Goris: Yeah. So you remember well, John. What we said was that we expected our investment spend to be up about $70 million, seven zero for the full year. Most of that we expect in the first half of this year, we still expect that. The timing is just a little bit different. Q1 was light by about $10 million. Q1 spend was up about 5% year-over-year, that’s about 25%. We expect the first half of the year to – of the $70 million we think about two thirds of that will happen in the first half of the year.
John Inch: Got it.
Patrick Goris: Q1 was just lighter than we expected.
Blake Moret: By about $10 million.
Patrick Goris: Yes.
John Inch: Okay. Thanks very much. Appreciate it.
Patrick Goris: Thanks John.
Operator: Your next question comes from Scott Davis with Melius Research. Your line is open.
Scott Davis: Hi good morning guys.
Patrick Goris: Good morning Scott.
Scott Davis: Starting to get a little bit concerned about earnings after Caterpillar yesterday, but you guys came up with a pretty strong number. I mean what – some of the folks out there have seen real weakness in China and some haven’t, but you guys clearly haven’t seen much. I mean, can you give us a little local color?
Patrick Goris: So China is a mid-single digit up. And some of the industries that contributed to the growth are mass transit. So the metro system continues to be an area where we differentiate and have had good wins and this year continues that Life Sciences, as we mentioned before, globally was good. And China is adopting a lot of the new value that we provide in Life Sciences to compliment the basic control. And then there were other industries, so chemical, metals, still growth in semiconductor and even automotive in China for the quarter.
Scott Davis: Interesting. So, Auto is going to be my next question. Help us understand the divergence between SAAR, and CapEx and OpEx obviously. I mean SAAR in China is struggling and inventories arising so that can be a really tough year. But capital spending seems to be on some sort of a solid footing. Is that correct or how would you view the outlook there?
Patrick Goris: Yes I would say globally for auto CapEx is flat and there are challengers for the uses of CapEx beyond just plant expansions and capacity as they’re devoting some of that CapEx spend to new technologies like electric vehicles and autonomous vehicles. And in China, we continue to see gains in the electric vehicle market. One of the recent wins was with house and providing a power train for a local, indigenous Chinese brand owner. And remember we essentially re-entered that power train market just a few years ago. And China is one of the places where we’re winning, not only for the joint ventures that involve American companies, but for indigenous Chinese manufacturers as well. The SAAR count if it’s weak will eventually have some impact on our business, but of course the model changes are the direct influence on our growth in automotive.
Scott Davis: Yes, fair enough. Thank you guys. Keep up the good work.
Patrick Goris: Thanks Scott.
Operator: Next question comes from Steve Tusa with JP Morgan. Your line is open.
Steve Tusa: Hey guys, good morning.
Blake Moret: Hi Steve.
Steve Tusa: Can you just talk about what you’re seeing in kind of a global machine tool industry, whether it’s some of those guys that operate out of Europe and into China? Whether it’s on the packaging side or elsewhere? Seems to us to follow-on Scott’s question, that there is a lot of foreign component suppliers that sell into that chain that are seeing pronounced weakness and de stocking. So I’m just curious as to kind of what your guys are seeing on that front?
Blake Moret: Yes, I’ll make a couple of comments on that, then Patrick may have some to add. We think that the moderation, let’s say in China is contributing to some extent to the weaker results that we see in EMEA. That being said, when we talk about machine tool, there’s a high component of that, that’s going to be CMC oriented versus ELC or logics oriented. And so we may be relatively less exposed in the metalworking areas.
Patrick Goris: Yes. Steve, I’m going to add that our OEM business globally was up a little bit less than the company average, so low-single-digits in the quarter, and EMEA was one of the weakest regions there.
Steve Tusa: Okay. And just to be clear for kind of the rest of the year, can you maybe give us a bit of a rundown on the major – what do you expect for the major segments? And how those are trend? I know that you guys talked about at last call, auto accelerating. If I missed that in the beginning, but is that still expected to be up this year – transportation? Maybe just give us a little color on what’s embedded by vertical in the guidance now and get any calibration there?
Blake Moret: Sure. So what we said last quarter, Steve, that we expect the Auto to be flat of fiscal 2019. Given the first quarter and our current outlook, we think that auto will be down mid-single-digits for the year. We think, at this point that that will be offset by some of the better growth we’ve seen in some of the heavy industries that I just mentioned in – about the first quarter but also Life Sciences. Within Consumer, Life Sciences and Food and Beverage are doing quite well. So versus our, I’d call November guidance, Automotive now expected to be down mid-single-digits for the full year. The heavy industry, a little bit better, and then also strong Consumer, particularly, Life Sciences, and after that, Food and Beverage.
Steve Tusa: Thanks. Great color as always. I appreciate it.
Blake Moret: Thanks Steve.
Operator: You’re next question comes from Julian Mitchell with Barclays. Your line is open.
Julian Mitchell: Hi, good morning.
Blake Moret: Good morning.
Julian Mitchell: May be just – good morning. May be just the first question around process markets. Your grow rate, I think, on sales slowed to about 5%, having been at double-digits in the prior quarter. Are you starting to see any impact from oil, or just a broader macro uncertainty starting to weigh on project activity? And maybe any updated thoughts on how you see process industries growing this year versus the group average?
Blake Moret: So in the quarter oil and gas was up slightly above the company average. We continue to make progress in process industries, and of course, that’s concentrated in the [indiscernible] that we call heavy industries. Just as a reminder, that metric of process really measures the adoption of our process control technology, and it’s not that metric the other thing that we sell the industries, like oil and gas, and pulp and paper, and metals, which would have a lot of intelligent motor control as well. So we continue to see good growth in those industries, and we expect that to continue with heavy industries contributing to our growth for the balance of the year.
Patrick Goris: And Julian for the full year, we expect a process as we defined it to be up or slightly above the company average.
Julian Mitchell: Understood, thank you. And then just circling back on the geographic basis if you could talk a little bit about the EMEA region, I think you talked about low-single-digit growth. You had a slight decline organically in the first quarter. So how quickly do we think that that recovers really? Is it solely to do with China as you talked about? Or do you think there’s some domestic aspect which should drive up EMEA growth over the balance of the year in certain verticals?
Patrick Goris: We think obviously, it’s a little bit broader in EMEA than just China, Julian. Obviously growth in EMEA generally from a macro point of view has slowed. We’ve seen that over the last three, four quarters. From a vertical perspective, what we see in that region is that Consumer is still doing pretty well. It’s up mid-single-digits. Heavy industry was down, as was Auto, and Consumer growth not strong enough to offset the weakness in Heavy and in Auto. Actually, our order intake in the first quarter in EMEA was actually pretty decent. And we expect EMEA for the full year to be up, but low-single-digits.
Blake Moret: Yes, I think that order intake helped to build backlog.
Patrick Goris: Yes.
Blake Moret: Which also informed our outlook in the region. And just within transportation, Auto was down and was somewhat canceled down by actual growth in the Tire vertical.
Julian Mitchell: Understood. So we should see EMEA improving in fairly short order than in terms of your sales growth?
Blake Moret: Our expectation is that we see some year-over-year growth in that region in the back half of the year.
Julian Mitchell: Fantastic. Thank you very much.
Blake Moret: Thanks Julian.
Operator: Next question comes from Rich Kwas with Wells Fargo. Your line is open.
Rich Kwas: Hey good morning. I’m sorry. I juggled in a couple of things here this morning. I might have missed this, but in Auto in North America, was that down year-over-year within the context of that being done overall for the quarter?
Blake Moret: It was Rich. It was down. So Auto was down about 10% globally, and similar for North America in Q1.
Rich Kwas: Okay. And I think that was…
Blake Moret: Yes, we think that although, we see some weakness in MRO, in Auto we’ve seen some project delays generally. But at the same time, we see easy and powertrain, as Blake was mentioning, continues to be strong. We still expect double-digit, we see and expect double-digit growth there. It’s just not big enough yet to offset weakness elsewhere in that vertical.
Rich Kwas: Just on the North America with the choice based OE is a decent launch cadence this year, year-over-year. So is that just something where you’re not seeing as much wallet of that in terms of the mix, or is there something that we’re missing when we’re looking at the broader numbers?
Blake Moret: No. We do expect to participate, actually even more broadly in some of those cadences. So with some of the new value, particularly, in Information Solutions and Connected Services, we actually expect on some of those launches to expand what our traditional content may have been. Yes.
Rich Kwas: Okay.
Patrick Goris: And I believe some of that goes back to the MRO comment that I was making.
Rich Kwas: Okay. Okay, and then last one on, I think, John’s earlier question around the guide. So what gets you to the top end of the guide, in terms of 6.7% organic? What has the work in terms of the various verticals or assumptions that you have got in here?
Patrick Goris: The loss variables here, if you can think about some of the trade uncertainties being cleared up, and then a little bit better performance in Automotive.
Blake Moret: Okay, so those are the keys to trade in Auto.
Rich Kwas: Okay. Thanks very much.
Operator: Your next question come from Nigel Coe with Wolfe Research. Your line is open.
Nigel Coe: Thanks, good morning. I just wanted to come back to, I think, Patrick, your comments on investment spending. I think you said it’s about $10 million lighter than your plan in the first quarter. And then, I think, you said two thirds of the $70 million happens in the first half. So just doing that math and trying to back into 2Q, is the headwind about $30 million or so?
Patrick Goris: You mean from a year-over-year point of view in the second quarter?
Nigel Coe: Yes.
Patrick Goris: Probably a little less than that. Not far off, but a little less than that.
Nigel Coe: Little less than that.
Patrick Goris: Yes.
Nigel Coe: Okay. Actually – got it. And then…
Patrick Goris: No, the only thing I would add to that. Some of that year-over-year increases investments that we’ve released fiscal 2018, and we see the – call it the annualization impact of that. It’s not all incremental in fiscal 2019.
Nigel Coe: Okay.
Patrick Goris: It’s just carried forward.
Nigel Coe: And then just one more clear up, and then I’ve got a broader question on PTC. But I think you were talking about 120 bps of impact from the ASC 606 all in 1Q. Did that play through? And then, maybe just talk about the PTC, how that’s progressing so far? And how much sales impact you do have baked into your FY2019 guide from the PDC resale?
Patrick Goris: Okay. I think Blake wants me to take ASC 606, and he’ll take PTC. Actually, the impact from ASC 606 was as expected in the first quarter. The EPS impact was several cents negative. So as expected there and no material impact on sales. The reasons for the beat on sales was not related to ASC 606.
Nigel Coe: Okay.
Blake Moret: Yes, regarding PTC, it was a good quarter. We had some interesting wins in the quarter. We’ve talked before about the quarter at the Investor Day, where we provided value actually in our power transmission facility. And then, at a Asia-Pacific region, a mining company. But since then a couple of additional ones in food and beverage, Labatt Food [indiscernible] company that specializes in processing and providing fresh fruits and vegetables. An Indian tire manufacturer where we had an order over $1 million that included PTC, as well as our MES offering, Dusen Bobcat in the EMEA region, they make loaders and excavators, you’d probably recognize the name. And they were looking at additional analytics and visibility of their operations. And then, in China, another metals and mining account. And those are just a few of these examples. I particularly like the diversity of where we’re winning across geographies and industries. First, it says that the value that we’re offering together is real. And second, it shows that our sales force is energized. They’re out there talking about this and it’s a way to make us more important to customers. There’s also discussions going on in a parallel path to converge our technology road maps and so creating that tighter alliance as time goes on.
Nigel Coe: Thanks, that’s great color. And Blake what do have baked into your sales guide from PTC product?
Blake Moret: Yes, so PTC falls in the FactoryTalk Innovation Suite, which is also a part of the bucket that we look at as Information Solutions and Connected Services. So we continue to talk about double-digit growth on top of the $300 million base that we talked about last year and with the contribution of PTC, we expect that to double over the next four years.
Nigel Coe: Okay, thanks. That’s a great color thanks.
Patrick Goris: Thanks, Nigel.
Operator: Your next question comes from Andrew Obin with Bank of America Merrill Lynch your line is open.
Anna Kaminskaya: Good morning this is Anna Kaminskaya on behalf of Andrew Obin. For me most of the questions have been asked already, but would you be able to provide any additional details on the announced acquisitions? Just how impactful it is to your P&L for the rest of the year?
Patrick Goris: Yes. Emulate3D won’t have a material impact on the results in fiscal 2019, but strategically and for customers, it’s really an exciting addition because this is software that works along with our core configuration tools to help customers simulate and emulate the operation of their system. So the simulation allows them to model the physical movement of their production system before they actually have to try it out with hard tooling on the line. And then the emulation capability allows them to look at the performance of the configuration tools, again to make sure that it’s working smoothly and with the correct timing that’s required. We’ve worked with them in the past. We have mentioned that they were part of our former partner program and now we’re going to be able to achieve even tighter integration with them. So again as with PTC we had customers asking for us to get closer before we made this additional step. So we’re excited about it. We think our customers are as well.
Anna Kaminskaya: And then any numbers around how much you paid for it or any revenue contribution?
Patrick Goris: We’re not disclosing that Anna and as Blake said the impact on fiscal 2019 will be immaterial.
Anna Kaminskaya: Got it. And then with some of the changes to accounting and I mean strong 1Q any other moving parts as we think about 2Q outlook, 2Q EPS is it in line with historical seasonality? Anything you would like to call out besides high investment year-over-year that we already talked about?
Patrick Goris: Not really, Anna. I think the only thing I would say that we would expect the year-over-year growth to be somewhat balanced – year-over-year to be somewhat balance first half versus second half of the year.
Anna Kaminskaya: Great. Thank you very much.
Patrick Goris: Thank you.
Operator: Your next question comes from Joshua Pokrzywinski with Morgan Stanley. Your line is open. Josh, you’re line is open.
Breindy Goldring: This is Breindy Goldring on for Josh Pokrzywinski, good morning. So looking at Q2 guidance within moving investment, we come up with earnings down very slightly EPS. Is that the right way to think about it?
Blake Moret: I’m not going provide any additional color than I already did with respect to timing of spend and year-over-year growth rates first half and second half. So I’m not going to provide more detail in the second quarter.
Breindy Goldring: Okay. That’s fine. Thank you.
Blake Moret: Thank you.
Operator: Next question comes from Richard Eastman with Baird, your line is open.
Richard Eastman: Yes. Good Morning. Patrick, could you just speak to there was a $90 million of tariff headwind kind of heading into the year and I think the commentary was half price – offset would be half price and half supply chain improvements. In that price commentary, I believe Rockwell took a second price hike, I think in November. Could you just speak to maybe the stickiness of that hike and also the price capture at the top line in the first quarter?
Patrick Goris: Yes Rick. So our price realization in the first quarter was about a point and so we were on track to get close to 0.5 with the full year, which is what is in our guidance and our expectations. You’re correct, so the 90 million was the gross annual impact. Half of that we expect to offset with supply chain changes and negotiations with vendors, the other half offset with pricing. We had the annual price increase in August of each year as we always do. We had an off cycle price increase in October and then we had an off cycle price increase in December and those last two price increases all related to tariffs. We realized that the price increase that we were targeting associated with those last two price increases and so that’s why I said, we were at about a point in the first quarter, we expect a little bit more than that for the full year, just given the timing of those last two price increases.
Richard Eastman: Okay I understood. And then just one question, it probably relates to the illness of margin – the incremental layer was quite high, there wasn’t a great deal of incremental sales growth, but at the end of the day, is that more of a mix around software sales, did they increase at a faster rate than Logix, is there a mix in there or is that price capture in ANS? I’m curious how we delivered so much margin there?
Patrick Goris: The way you cannot think about it there Rick is that our spent was light as I mentioned earlier and it was particularly light in that segment. From a mix point of view within that segment Logix did actually quite well. So there was not a big mix driver within that segment.
Richard Eastman: Okay. Because when you talk about – and Blake you had mentioned this Information Solutions and Connected Services, my guess is the Information Solutions base probably outgrew Connected Services, I don’t know if that’s easy enough to parse through, but again that seems like that would have help the software FactoryTalk suite products sales within ANS?
Blake Moret: Yes, I think on balance, the margin is between that bucket is at or slightly above the company average over a period of time.
Richard Eastman: Well, again I was just looking at the mix being more software friendly in ANS as the PTC agreement expands is that going to be noticeable?
Blake Moret: I think it will be, but it’s going to take a while because when we sell some of that software or we add some of our software on top of that it’s on a subscription basis Rick and so therefore it will start out to be small and so obviously we’d like to grow it a fast as possible, but it being description and not license sales it’s going to be slow and it’s going to take some time before you’ll see it have a mixed effect.
Richard Eastman: I understand, because this is a different component. Okay, very good thank you.
Blake Moret: Thanks Rick.
Operator: Our next question comes from Andy Kaplowitz with Citi, your line is open.
Vladimir Bystricky: Good Morning guys its Vladimir Bystricky on for Andy.
Blake Moret: Good morning.
Vladimir Bystricky: So, can you guys talk a little bit more, I know you talked about Latin America, the strength in Latin America, so can you just give a little more color on really what’s driving that strength, any particular countries and more about how you’re thinking about the sustainability of the LatAm strength in 2019?
Blake Moret: Yes, few comments in terms of the growth drivers in Latin America. Latin America for a long period of time has been a strong region for us. So there’s lots of diversity in the region in industries that we serve well. One of the key starting points in Latin America is the backlog in mining. And so we talked last year about the big Codelco mining project as one example. We’re starting to see some of that order come out in quarterly results and so that’s a strong contributor for us. We also see continued growth in oil and gas particularly in Mexico. And then finally, we’ve seen several quarters of good growth in Brazil as well and so I think those would be three of the key contributors to the continued performance in Latin America.
Vladimir Bystricky: Okay. That’s helpful. And then just to circle back on the tariff impact for a moment, I know you talked about the pricing that you’ve put in. I think last quarter you said about two-thirds of the supply chain adjustments were already in the execution phase, can you talk about all of the supply chain adjustments and vendor negotiations sort of now underway or in execution or do you still have more to do there to get to the net neutral on tariffs?
Blake Moret: I think everything is being worked on the business need everything is buttoned up. But as I mentioned, we are on track and our teams have done tremendous work on making that happen, which is why we continue to expect that this fiscal year the net impact will be zero.
Vladimir Bystricky: Okay, perfect. And then maybe one last one from me, I know you aren’t disclosing financials on Emulate3D but can you just talk more broadly about what you’re seeing in terms of valuation multiples in the pipeline? Have you seen any movement there? Have you seen any valuations start to come in all with the recent market volatility?
Blake Moret: I think there’s been, in general across our broad portfolio of names out there, there will be some contraction based on the macro.
Vladimir Bystricky: Okay. Thanks very much guys.
Blake Moret: Thank you.
Operator: And your next question comes from Nicole DeBlase with Deutsche Bank your line is open.
Nicole DeBlase: Yes, thanks. Good morning.
Patrick Goris: Good morning.
Nicole DeBlase: So a couple of piggybacks on questions that have already been asked, first on China, I know you guys saw him mid-single-digit growth for the quarter. If you could kind of frame out what you expect for the full year?
Patrick Goris: Yes, we see China growing mid–single-digits for the full year as well. And we talked before about Life Sciences which is really a macro trend across the world, but the Chinese companies are particularly vigorously adopting some of the new value, some of the software again that sits on top of it basic control systems. We see growth entire in China in the full year. We see growth in oil and gas in China and then a little bit of growth in food and beverage as well.
Nicole DeBlase: Okay, understood that’s helpful. And then piggy backing on the question on process, so I know you guys went through kind of what drove the growth this quarter, what happened within the oil and gas but growth did decelerate and I think it was up about 10 organically in the fourth quarter, it’s now at five, if you could just talk a little bit about the moving pieces from 4Q to 1Q?
Patrick Goris: Yes, I would look at the majority of that as quarterly variability. We’re not seeing a meaningful slow down in any one area of that versus another. And again, this is one component of what we’re offering to those process applications, the other main piece being the motor control as well. So I wouldn’t look at that as a trend at this point.
Nicole DeBlase: Okay, understood. Thanks, I’ll pass it on.
Blake Moret: Thank you.
Operator: Your next question comes from Joe Ritchie with Goldman Sachs, your line is open.
Ashay Gupta: Hi, good morning, this is Ashay Gupta on for Joe.
Patrick Goris: Good morning.
Ashay Gupta: Hey, Patrick you mentioned that investments spent was $10 million lighter than expected in the quarter, over the other due items that you mentioned on 4Q that was supposed to be headwinds like ASC 606 and the impact of pricing, can you just comment on how those two items came in versus your expectations going in?
Patrick Goris: Yes, so as I believe I mentioned earlier on the call the earnings impact of ASC 606 – as we expected also few cents of negative impact. And then with respect to tariffs, in November we mentioned that we expected headwind in the first quarter associated with tariffs and that is exactly what we saw in the first quarter. So the net of price and cost was a small headwind in that Q1 and we expect the net impact of tariffs to be zero for the full year, so current tariff and ASC 606 came in as expected basically in the first quarter.
Ashay Gupta: Understood and just secondly, I think in the beginning you guys commented that semis was a strong area in the quarter, which is just surprising given some of the commentary we’ve heard from semis players and some of your competitors, so like what’s different like, are you taking share and what’s your outlook for semis for the rest of the year? Thank you.
Patrick Goris: Yes, I think our comment about semi was specific to China, where semi was up from a global basis. Semi was about flat for the first quarter. We’ve seen several years of good growth in semi. We expected this year in our guidance with a slower growth and in semi about mid-single-digits and first quarter was about flat, but with some growth in China as Blake mentioned.
Ashay Gupta: Great, thank you.
Operator: Next question comes from John Walsh with Credit Suisse. Your line is open.
John Walsh: Hi. Good morning.
Blake Moret: Good morning.
John Walsh: So, I guess maybe just one question here to piggy back off some of the earlier price questions if I just kind of go through your K and look at what price has done the last couple of years per your commentary, it looks like it was a little bit less than a point in 2017 and then about 50 basis points in 2018 and if I do the rough math here on what you’re talking about comes from tariff versus organic price it looks like we’re going to tick up a little bit above that 50 basis points you probably realized in 2018. So wondering if this is all just rounding or if you’re actually starting to see some real underlying price traction outside of kind of the tariff impacts where you’re just pushing the price through the channel?
Blake Moret: Yes I would say it’s both, you’re right last year we realized about half point in price. We did mention I believe that we were targeting for a somewhat higher price increase in fiscal 2019, given generally increasing input cost leave alone the impact of tariffs. And so we targeted a larger price increase given higher headwind from input costs. And on top of that, that is of course the tariffs and some of the price increases that we haven’t met as a result of that. And so in total we will realize more price this year that’s our expectation than last year, as I said about 0.5. This includes not only the price from the tariffs but also come with our base price increase, the base price realization will be a little bit higher than what it was last year. So it’s both, we realize a little bit more price from annual price increase and on top of that there is the selective price increases related to the tariffs.
John Walsh: Got it on that, I guess I was trying to get at maybe some value pricing as you move the portfolio more into your Connected Enterprise and what you’re able to realize on that front kind of absent the general inflation and tariff. What kind of the value add pricing you were getting if you were starting to see any kind of tick up in that relative to where you’ve been historically?
Patrick Goris: As we come out with new products, software and capabilities, obviously we try to price it appropriately, knowing that there’s still some competition out there.
John Walsh: Got it great, appreciate the color. Thank you.
Patrick Goris: Thank you. Operator, we’ll take one last question.
Operator: Your last question comes from Scott Graham with BMO, your line is open.
Scott Graham: Hi, good morning. Like I think others had a number of earnings this morning, so I’ve jumped often on the call. So forgive me if I am trouble asking a question here. On the EMEA, organic down seven-tenths of a percent, would you be able to split for us Europe versus Middle East and Africa there? And the driver of what happened in Europe?
Blake Moret: Yes, I believe that if we think about this matured markets in EMEA generally no – emerging companies in EMEA generally performed better than the matured companies in that region.
Scott Graham: Remains down mid-single-digit?
Blake Moret: Say Again?
Scott Graham: Would you say that the matures were down mid-single-digit or may be low-single…
Patrick Goris: There is a raise there, the way I would say that some of the mature companies would be below the EMEA average and so the emerging companies would be a little bit better. Obviously mature companies still account for the majority of our business in that region.
Scott Graham: Understood. Thank you. And on oil and gas, I know that you’re a little bit more tilted towards the upstream, I was just wondering, what your customers were saying given North America, first half of the year kind of look a little wise where capital spending does with some of these upstream guys? What are you seeing in North America and elsewhere in your upstream business in oil in next six to nine months?
Blake Moret: Yes. So we continue to see growth in oil and gas, mid-single digits growth for the year. You’re right, a little more than half of our business is upstream with the remainder split between midstream and downstream. We continue to see strength in the Permian and one of the important comments because we’re not as dependent on the big mega projects, regardless of the price of oil. People are going to be looking for productivity in their operations, that’s really our sweet spot either with the solutions or with individual products as people find ways to make even more efficient into their production operations. And so we continue to see that as a source of growth for us including the U.S.
Scott Graham: Right, thank you.
Blake Moret: Thank you.
Steve Etzel: Thanks. Now I’ll turn it back to Blake for a few final comments.
Blake Moret: Thanks for everyone’s questions. I just want to summarize. The first quarter was a great start to the year. We delivered strong operating and financial performance. We’re executing on our key initiatives and our strategy is working. Steve?
Steve Etzel: Okay, that concludes today’s call. Thank you for joining us. You may disconnect.
Operator: And that concludes today’s conference call. At this time you may disconnect. Thank you.